Operator: Good morning, ladies and gentlemen, and welcome to the Forum Energy Technologies Second Quarter 2025 Earnings Conference Call. My name is Gigi, and I'll be your coordinator for today's call. [Operator Instructions] A link with instructions can be found on the company’s Investor Relations website under the Events section. [Operator Instructions] This conference call is being recorded for replay purposes and will be available on the company's website. I will now turn the conference over to Rob Kukla, Director of Investor Relations. Please proceed, sir.
Rob Kukla: Thank you, Gigi. Good morning, everyone, and welcome to FET's Second Quarter 2025 Earnings Conference Call. With me today are Neal Lux, our President and Chief Executive Officer; and Lyle Williams, our Chief Financial Officer. Yesterday, we issued our earnings release, and it is available on our website. Please note that we are relying on the safe harbor protections afforded by federal law. Listeners are cautioned that our remarks today may contain information other than historical information. These remarks should be considered in the context of all factors that affect our business, including those disclosed in FET's Form 10-K and other SEC filings. Finally, management's statements may include non-GAAP financial measures. For a reconciliation of these measures, please refer to our earnings release. During today's call, all statements related to EBITDA refer to adjusted EBITDA. And unless otherwise noted, all comparisons are second quarter 2025 to first quarter 2025. I will now turn the call over to Neal.
Neal A. Lux: Thank you, Rob, and good morning, everyone. The FET team achieved strong results this quarter. We delivered sequential growth in bookings, revenue, EBITDA and free cash flow. Also, revenue and EBITDA were in the top half of our guidance ranges. Bookings this quarter were strong across most of our product lines and drove backlog to the highest level in over 10 years. Our Subsea product lines' performance was impressive with significant bookings for ROVs and a large submersible rescue vehicle system. We continue to see strength in the offshore market across a wide array of industries, including oil and gas, wind and defense. Importantly, we generated $23 million in free cash flow in the second quarter, putting us at $30 million for the first 6 months of this year. That is a 27% year-over-year increase and marks our eighth consecutive quarter of positive free cash flow. Over that time, we have generated $168 million of free cash flow. Also, we believe this momentum will continue for the rest of the year. We are raising full year 2025 free cash flow guidance to between $60 million and $80 million, a $20 million increase. Applying our capital returns framework, we will use this free cash flow to further reduce net debt and execute share repurchases. This year, we repurchased approximately 5% of our shares outstanding. And based on our full year guidance and current stock price levels, we are on track to repurchase an additional 10%. Concurrently, we plan to reduce net leverage to 1.3x by year-end with a free cash flow yield around 30% and significant long-term growth potential, continued buybacks are extremely compelling. The strong results I just outlined demonstrate the benefits of our beat the market strategy. Since its implementation in 2022, our annualized revenue per global rig is up 20%. As a reminder, this strategy aims to grow profitable market share by competing in targeted markets, utilizing our competitive advantages, developing differentiated technologies and leveraging our global footprint. Now we have refined our strategy by aggregating our addressable markets into 2 broad categories: leadership markets and growth markets. This approach concentrates the impact of our technical and commercial resources. Today, FET derives about 2/3 of our revenue from the leadership markets. These are markets where our solutions are fully adopted by the industry, where we have few competitors and broad geographic reach. We estimate that the leadership markets in aggregate total $1.5 billion, and we have a meaningful 36% share. A few examples from our portfolio are Global Tubing, Quality Wireline, Variperm and Perry ROVs. In these markets, we will continue to invest in product development to maintain and expand our leadership position. These are great markets, and I love our dominant products. In addition, we have identified substantial growth opportunities in markets that are about twice the size of our leadership markets or roughly $3 billion. We call these growth markets. Our products and solutions here are differentiated, proven and have few competitors. However, they may be in the early stage of industry adoption or may have a narrower customer base or may be geographically limited. As a result, our aggregate market share here is relatively low, around 8%. However, this creates an exciting opportunity to increase revenue rapidly through wider industry adoption, new customer acquisition and expanded global utilization. Since this opportunity is so meaningful to FET, let's spend a few moments diving deeper with a few examples. First, let's begin with coiled line pipe, a product that saves time and money. This fantastic solution eliminates 95% of a pipeline's wells and can be installed faster than traditional steel pipe. The last hurdle holding back wider customer adoption is inertia. As we move forward, I expect our customers to prioritize saving time and money over the status quo. The market opportunity for coiled line pipe is immense and has very few competitors. Also, we employ one of the most efficient production methods for this product. With these factors in our favor, coiled line pipe should be a strong contributor to FET's results. We saw a glimpse of this potential in the second quarter with growing demand in the U.S., the Middle East and offshore. The second example I want to highlight is from our Artificial Lift product family. The value proposition to operators is very simple. Our patented products extend the life of downhole pumps, allowing more production at significantly lower cost. Execution of this value proposition has made us the market leader in the United States. The exciting part for us is that the international market is more than 4x larger than our home market and demand is tied to production operating expense. By leveraging our global footprint to address these markets efficiently, we have a significant opportunity to grow revenue. Our goal over time is to double our share in growth markets. To put that in perspective, 8 points of market share gain could be an additional $240 million in revenue at a 30% incremental margin that is $72 million of additional EBITDA. This example illustrates the enormous revenue and EBITDA potential in just a flat market. This is exciting and demonstrates the value of FET's beat the market strategy. Now for more color on our quarterly results and outlook, I'm going to turn the call over to Lyle.
David Lyle Williams: Thank you, Neal. Good morning. FET delivered solid second quarter results. Revenue of $200 million was at the top end of our guidance range as we grew revenue in the face of declining global rig count. U.S. revenue was up 3% as our Artificial Lift and Downhole segment rebounded from a softer first quarter despite a 3% decline in rig count. Revenue in Canada was down just slightly as the market experienced its usual second quarter breakup. And our international revenue, excluding Canada, increased by 6% as most of our product lines grew revenue with a decline in international activity. As Neal highlighted, we had a great bookings quarter, up 31% from last quarter with a book-to-bill of 132%, while Subsea was the biggest contributor in the quarter, we had nice order flow from a number of other product lines. For perspective, excluding the Subsea product line, total bookings would have been up 7% with a book-to-bill of 102%. Encouragingly, bookings and quote activity remained strong in the third quarter. Consolidated EBITDA was $21 million, up 2% and above the midpoint of our guidance range. These consolidated results include improvement from higher revenue, sequential benefit from cost reductions and impacts from tariff mitigation efforts. Let me elaborate on these factors. During the quarter, we made significant progress toward our $10 million cost reduction goal. We are 70% to 80% of the way and recognized about $1.5 million of benefit in the second quarter. These savings come primarily through fixed cost reductions that we believe to be permanent in nature. Based on our progress, we expect to achieve our savings goal this year. Tariff impacts played out in the quarter much as we expected despite the on again, off again nature of tariff announcements. As we mentioned on last quarter's call, our tariff mitigation plan includes matching costs with price increases and leveraging our global footprint to avoid tariffs altogether. Beginning in the first quarter, we announced price increases to offset tariff expenses incurred in the second quarter. The impact was a slight 10 basis point to 20 basis point reduction of our consolidated EBITDA margin. And results of our valves product line were somewhat better than we feared following a softening of trade rhetoric. However, the valves buyer strike continues as the uncertainty around the magnitude of tariffs on Chinese imports has dramatically reduced volumes. We expect this to continue until distributor inventories are depleted. Drilling and Completions segment revenue increased 1%. Our coiled line pipe offering grew with market share gains in the U.S. and revenue recognition on a large Middle East project. We also saw an uptick in drilling-related capital shipments, primarily for international markets. On the other hand, our stimulation and intervention product line declined with the headwinds of softer U.S. completions activity. The resulting product mix negatively impacted segment EBITDA margins. Our Artificial Lift and Downhole segment performed well in the quarter with revenue increasing 6%. Demand increased for some of our higher-margin products, including downhole casing equipment, sand control solutions and cable protection products. This favorable product mix and cost reductions lifted segment EBITDA above 20%. Our consolidated free cash flow of $23 million benefited from reductions in net working capital and another sale-leaseback transaction. This transaction is the latest move in our drive to redeploy capital to higher-value applications. Net of this sale, the business generated $15 million of free cash flow, a 71% conversion from EBITDA. And we expect strong free cash flow to continue. We are raising full year guidance by $20 million, implying another $30 million to $50 million of free cash flow in the second half of the year. We expect continued reduction in net working capital since we slowed raw material purchases in response to softening market expectations. Walking from EBITDA to the midpoint of this new cash flow guidance, we now expect cash interest and taxes of $40 million, working capital reductions of $25 million and net capital expenditures to be around 0. Thanks to the operations team's diligent action to generate free cash flow, we reduced our net debt by $20 million and accelerated our share repurchase program. In June, we repurchased 225,000 shares for $4 million. And in July, we repurchased another 249,000 shares for $5 million. In 2025, we have repurchased 579,000 shares or 5% of the shares outstanding at the beginning of the year. As of the end of the second quarter, our net debt outstanding was $126 million with a leverage ratio of 1.4x. Expected free cash flow should keep the incurrence threshold from being a limiting factor. Therefore, we believe we are in a position to continue executing significant shareholder returns while further reducing net debt. Now turning to the market and our financial guidance for the remainder of the year. We believe commodity prices will remain near current levels and therefore, expect industry activity to continue a gradual downward trend through the remainder of the year. At this time, we are not forecasting a significant fourth quarter decline as spending and activity are already at subdued levels. Despite softening activity, our results for the back half of the year should remain relatively steady with support from elevated backlog, share gains from our beat the market strategy and further cost savings. Therefore, for the third quarter, we forecast revenue of $180 million to $200 million and EBITDA of $19 million to $23 million. We expect our full year 2025 revenue to be between $760 million and $800 million and EBITDA to be around $85 million. Let me provide a little more detail for modeling purposes. For the third quarter, we estimate corporate costs of $8 million, depreciation and amortization expense of $9 million and interest and tax expense of $5 million each. For the full year, we estimate corporate costs of $30 million, depreciation and amortization expense of $35 million, interest expense of approximately $19 million and tax expense of $17 million. Let me turn the call back to Neal for closing remarks. Neal?
Neal A. Lux: Thank you, Lyle. Based on the guidance we just provided, the next few quarters require continued focused execution. However, the investment case for FET remains compelling for the following reasons. First, this management team has a track record of outperformance. Since 2021, we have grown revenue and free cash flow by 15% and 73% annually. Second, our stock remains an incredible value with a free cash flow yield around 30%. Third, we aim to return a prodigious amount of capital to shareholders. We have $64 million remaining under our current share repurchase program. That represents approximately 28% of our current market cap. Finally, we are poised for growth and have a plan in place to increase free cash flow per share significantly. We call this plan Vision 2030. Looking out 5 years, there is general consensus that world GDP will increase by nearly $30 trillion and the global population will add 400 million people. These are staggering numbers. These staggering numbers will drive daily world oil demand up 5 million barrels by 2030. And given the high decline rates of existing fields, the oil industry will need to replace 30 million barrels of daily supply in that time. In addition, demand for natural gas will grow rapidly to power AI data centers and supply worldwide LNG. Significant investment will be required to satisfy global oil and natural gas demand. To meet these challenges, our customers will need to be even more efficient while also adding a modest amount of capacity. Under this growth scenario, FET's addressable market would expand by more than 50%. This expansion and our beat the market strategy could organically double revenue from current levels. And with our strong operating leverage and capital-light business model, our free cash flow per share would grow dramatically. By 2030, we would have significant cash on hand and the firepower to execute strategic investments, including accretive acquisitions and additional shareholder returns. Vision 2030 is our North Star. Thank you for joining us today. Gigi, please take the first question.
Operator: [Operator Instructions] Our first question comes from the line of Joshua Jayne from Daniel Energy Partners.
Joshua W. Jayne: First question, just in the prepared remarks, you talked about the opportunity to double the market share in your growth markets, which could potentially add to $240 million in revenue and $70-plus million of EBITDA. What's the time frame that you would hope to do that in? And how would you view sort of -- what would you view as sort of a success with respect to timing on that?
Neal A. Lux: Yes. This is our -- part of our long-term vision, Josh, and I think that would happen over time. For many of these products, I think we talked about they're proven solutions. We have to get over -- get -- acquire the customers. We have to expand the geographic reach. So I think those steps take time. But what's exciting to us is going back to the original part of the statement that these are proven. We've seen the value that our solutions have in the U.S. and other markets. And I think just expanding these to new customers, new markets over the next 3 to 5 years, that's the kind of success we're looking for.
Joshua W. Jayne: Okay. And then could you go into a little bit more detail on -- you highlighted some orders for offshore defense in the commentary. Are those longer lead time or maybe just some additional color around there and how we should be thinking about the timing of them ultimately hitting your P&L?
Neal A. Lux: Yes. There're a combination of some shorter-term, more standard products. The rescue submarine system is a longer-term product that will deliver over the next 2 years or so. So that's long gestation. That's a unique product for us. But the other defense, what we're seeing is the application of our current ROV systems. We're seeing the adoption of those for other navies around the world, so outside of just oil and gas.
Operator: Our next question comes from the line of Dan Pickering from Pickering Energy Partners.
Daniel Ray Pickering:
Pickering Energy Partners LP: I always hate getting on earnings calls and hearing everybody say good quarter and congratulate the company on doing a good job when sometimes the results are mediocre. But I do have to say you guys are really executing quite well and above expectations. So tried and true, good quarter. When I -- just kind of a couple of mechanical things and talk a little bit about kind of some of these growth markets and your targets. Lyle, you talked about the share repurchase. What's your expectation for shares outstanding in Q3 and Q4, if we didn't do anything from here? I'm just thinking about how the math rolls through on the share repurchase side.
David Lyle Williams: Yes. No, great question. Dan, like we mentioned, year-to-date, we've repurchased about 5% of the shares that were outstanding at the beginning of the year. And so that number has moved down pretty well. And I think importantly, maybe just a reminder for context, we've been limited a bit in our share repurchases by kind of timing of our free cash flow, but also by limits that were in our bond indenture, primarily the 1.5x net leverage threshold. So with us being below that, we think that now the second half of the year, that moves through a lot more quickly. Kind of quick math is under the indenture, we have about another $25 million worth of cash that could be deployed for share repurchases. And Neal mentioned that another 10% of our shares, so kind of, call it, another 1.2 million shares could get bought at current stock price levels. So meaningful if we can deploy that $25 million and would pull us down nearly 15% from the start of the year level by December.
Daniel Ray Pickering:
Pickering Energy Partners LP: Okay. And on a net basis, I know there are typically shares issued for employee plans, et cetera. What's the -- what's your expectation there? How many shares are we going to issue given we're offsetting -- that we will be offsetting with repo?
David Lyle Williams: Yes. Yes, we do have stock comp that rolls through every year. It's not a significant number relative to what we're buying back. I don't have that number right here on the top of my head, but I would expect a pretty meaningful year-end decline, including the addition of shares from stock compensation.
Daniel Ray Pickering:
Pickering Energy Partners LP: Got you. On the free cash side, you highlighted a $20 million increase in your range and sort of for the second half of the year, that's a $30 million to $50 million number. You did $30 million in the first half, I follow. So second half equal to the first half, I get to $30 million. An incremental $20 million, what would be the gears? Are there more sale leasebacks to do? Is it a lot of working capital that you'd pull out? Would it be revenue upside? What's the kind of variability getting us from that $30 million number to the upside $50 million number?
David Lyle Williams: No, great question. The biggest movement for us is working capital reduction in the second half of the year. So when activity dropped on us earlier this year in March time frame, our teams redirected supply chains and slowed down inbound raw material. It takes a little bit for that to work its way through the process. So really, we didn't see a lot of working capital reduction through the first 6 months of the year. And that driver of cash flow is really going to kick in for us in the second half. So really, the delta from our first half run rate to get to that second half run rate, $30 million to $50 million is the majority of that is going to be more working capital reduction.
Neal A. Lux: I think, Dan, we've also seen some improvement in our operations and how fast we're turning incremental working capital. And putting those measures in place, I think our teams have done just a fantastic job of we're only buying what we need and returning it quickly and still satisfying customer demand while also having strong revenue.
Daniel Ray Pickering:
Pickering Energy Partners LP: Well done. I'm going to sneak a couple more in here, if I could. You talked about in your growth strategies, the new markets. I'm just wondering how do you do that with spending as little capital as you're doing? Or do we have to think about more CapEx to attack some of the growth market opportunities?
Neal A. Lux: No, really minimal CapEx, if not 0, because we have the global footprint in place. We have the -- really the commercial teams that are in place. So it's more about having the time to convince the customer. So let me step back and give you maybe an example there. We supply a lot of systems to protect downhole pumps. The alternative is to just not go without protection. And so across the world, many operators just choose to leave, for lack of a better term, leave their pumps naked and not protect them. What we got to do is go sit down, provide the technical background, convince the customer. There's trials, obviously, right, that you got to go through, and that's what takes time. But that's where we're focusing our efforts. So that's really not a capital draw for us. And so it's just -- it's getting those markets penetrated and just really convincing the customer to adopt our solutions. That's what's exciting to us.
Daniel Ray Pickering:
Pickering Energy Partners LP: So saleable agrees basically?
Neal A. Lux: Yes. Yes, with the resources we have in place, correct.
Daniel Ray Pickering:
Pickering Energy Partners LP: Final question for me, Vision 2030, I like that. I mean, we can talk about that for the next 5 years. But when you discussed that earlier, you basically -- it sounded to me like put M&A, strategic acquisitions, things like what I would call Variperm, the last big one that you did. It sounded like you were putting those toward the end of the queue. Are they -- or can you talk about how tactical acquisitions fit in with your strategy as you look ahead?
Neal A. Lux: Yes. I think what we want to do is lay out first organically. I think what do we control as best as we can. And I think that's a lot of organic, obviously. But I think there's definitely acquisitions. We've talked about if we could find another Variperm, we would love to add it in. That acquisitions that are accretive that have strong financial metrics that would increase our cash flow per share. We love those, and we'll continue to look for them. So I think they absolutely play a part. I think, too, we've also committed to, again, return a lot of capital. So we're going to balance that while also reducing debt. So finding a company that yields a 30% free cash flow, it's hard to find that. So until our price doubles and we can go find some other opportunities, our opportunity list gets bigger then.
Operator: Our next question comes from the line of Jeff Robertson from Water Tower Research.
Jeffrey Woolf Robertson: Neal, can you talk a little bit about the defense market globally and what kind of opportunity that presents for FET?
Neal A. Lux: Yes. So a great example is the submarine rescue vehicle that we just booked in Q2. We see more of those opportunities specifically around. We're also seeing navies around the world want to have more, let's call it, undetected type underwater vehicles that can do whatever work that they don't tell us that they do. And so our vehicles play a role there. A good example, we've been selling to the United Kingdom Ministry of Defense for some vehicles as well. So I think the applications that we've developed for oil and gas also play well on the defense side. And our teams have a long history of addressing both markets. So we're excited. I think that the spend is swinging that way, and we're taking advantage of the opportunities as they come.
Jeffrey Woolf Robertson: Is the revenue stream from that both selling or contracting ROVs, but also servicing them over their useful lives?
Neal A. Lux: Yes, absolutely. And in fact, most of our offshore and subsea vehicles. So we'll sell the vehicles. So we don't really -- we don't rent the vehicles, but we'll sell them to the end user. A lot of the value over time comes from the spare parts and service that we provide.
Jeffrey Woolf Robertson: Does the operating system that you all have developed that allows someone to operate them remotely, is that a big selling point for that market?
Neal A. Lux: Absolutely, absolutely. So even on the offshore side, where that market has been relatively hot, they want to take cost out. And our Unity operating system that removes personnel from the vessel in order to have operations done onshore in a controlled environment are incredibly interesting to our customers. So that is driving sales of existing, and we expect that to drive upgrades over time as they upgrade existing vehicles with this new software, new operating system.
Jeffrey Woolf Robertson: And if I could ask one on the growth markets that you have highlighted. Are those -- is that growth actually kind of chunky? In other words, does an NOC approve a product for use and then there's a quick adoption to create some earnings growth or revenue growth? And then can you talk about the margin mix in your growth markets compared to your leadership markets?
Neal A. Lux: Yes. So I'll start at the end first and then work backwards. So the margin should -- will be comparable to our leadership markets, but we want to go and sell high-value products. So in many cases, the solutions that we have that we're bringing to our customers, we're creating a lot more value for them than they're paying to us. So they see it as a value add. So we're able to generate nice margins on those products. So growth would be very similar, potentially even better than our leadership markets because again, we have very few competitors in those spaces. On the kind of the chunkiness most of the products we're selling would be more of our consumable -- they'd be consumables. So they -- you would buy so many per month. So yes, getting NOC approval is a big deal, but you still have -- I think still some sort of ramp time. And in terms of our overall margin, it would just need to build over time. So I wouldn't expect any wild swings with an approval that way.
Operator: Our next question comes from the line of Steve Ferazani from Sidoti.
Stephen Michael Ferazani: I just want to ask actually just the easiest, most basic question, which is we've seen a couple of months of significant rig count declines in the Permian, global declines. We've gone through 2 weeks of earnings calls that haven't been super happy. I mean you guys had sequential revenue improvement, flat margins. Can you walk through how you do it when clearly some of the demand for some of your drilling and completions replacement equipment should decline in this market?
Neal A. Lux: Maybe I'll start and let Lyle jump in. Yes, it's not been easy. I can tell you that. I think with your question, a couple of things come to mind. We have a broad portfolio where we touch a lot of the value chain. So while U.S. land has been weaker and declining, offshore has done well. International stays strong. And we talk about expanding our geographic reach with products that we've done well in the U.S. South America has been fantastic for us where we're sending our products down there for part of their unconventional development. So that's been a key part of it. Cost reductions, though, our team has gone in and been really, really diligent about cutting costs. They've also remain focused on being more efficient with inventory and working capital. So I think all that's played a role in the results we had. And finally, really our beat the market strategy. We want to gain share. So if the market is up, we're going to grow faster. If the market is down, we're hoping that we don't fall as fast as the market itself. So that's part of our outlook and part of our strategy.
David Lyle Williams: Yes, Steve, I guess the things I would add and to put some color and maybe a little bit of numbers to that, we do talk about our beat the market strategy and one high-level way that we want to measure that is our revenue per global rig that's working. And comparing the first 6 months of this year to the first 6 months of last year, we're up almost 2%, so while that may not sound like a lot, over time, those percentages compound and gets to be a lot of revenue. So a little bit of market share gain on a year-over-year basis. And then also, we think about the cost actions that we've taken. We announced in our last call that we -- that based on the softer market, we were going to endeavor to take $10 million on an annualized basis of cost out of our fixed cost structure, really efficiency gains and how do we do better. We recognized about $1.5 million of that in the second quarter already. And if you think of us being, we said 70%, 80% of the way, there's another $1 million to $2 million coming of benefit in the third quarter. So a little bit of self-help here that's helping us overcome softness in the U.S. market.
Stephen Michael Ferazani: Is that your confidence for the full year EBITDA guide? Because I mean you're guiding for flat to even slightly up in the second half, knowing that you're going to feel probably still further U.S. decline and the impact on pricing?
David Lyle Williams: That's right, Steve. We do think we're going to pick up a little bit more share. We've got some costs coming out. And then finally, we are sitting on the highest backlog we've had in 10 years. And while some of it like our submarine rescue vehicle is going to play out in revenue over the next couple of years, there's other backlog that will be shorter in nature in churn for us. So we've got that support. And our guidance really expects a gradual continued decline, not some sort of year-end holiday or drop off in the fourth quarter. We think activity has already seen a pretty meaningful drop and probably kind of muddles lower from here.
Stephen Michael Ferazani: How does your guidance reflect the continued issues around the valve business?
David Lyle Williams: Yes. I think we think valves stays pretty consistent with what it's done given the current tariff noise. And what we're seeing is our distributors just aren't replenishing their inventories. So at some point, they'll run out of inventory, and then we'll see a change. But in the near term and until that happens, we think valves kind of stays at a depressed level.
Stephen Michael Ferazani: So when we look at the strong EBITDA and revenue number, it's really missing a key piece.
David Lyle Williams: Yes. I would say that, that is. And as Neal mentioned, starting -- really starting out the comments here, we do have a very broad portfolio of products. And while that's a challenge sometimes on the upswings where not all of the pistons are firing at the same time, it also works for us here where we've got a piece that's really struggling, but other parts of the business are able to pick it up.
Stephen Michael Ferazani: Great. That's helpful. And I do want to ask about the raised cash flow guidance because you're not really, for obvious reasons, not moving EBITDA. If you can just walk through as a manufacturer that often gets compared to traditional oilfield services, the levers you're actually able to pull here to be able to generate that much stronger cash flow in a difficult market?
David Lyle Williams: Sure. I think let me start and then Neal chime in, please. Really, the big lever for us in this year, Steve, is working capital, and I'd say a bit of CapEx. So if we go back to our beginning of the year guidance, we thought we'd be at that $40 million to $60 million worth of cash flow with really no decrease in net working capital, right? So now as activities come down, we're able to unwind some working capital. That's going to be a big addition to our cash flow, more than offsetting the full year decline in our thoughts on EBITDA. And also with our CapEx, we are not a heavy CapEx user. You mentioned comparing with other oilfield services companies. For us to grow, we don't need to add a lot of CapEx. Our budget wasn't high this year. And in a softer market, we're even able to dial back what we would need to spend. So net of the sale leaseback, we'll have about 0 CapEx on a full year basis. So those 2 levers, working capital and CapEx really help us on cash.
Neal A. Lux: Yes. I think I'd maybe add last to that is it comes down to the teams and execution. A couple of years ago, we changed our annual incentives to make cash flow a big part, a meaningful part of that incentive. And our teams have really adopted it and engaged. And so we're focused on generating free cash flow on everything we do. And I think as we go back to a growth cycle at some point, again, we think in the next few quarters, we need focused execution. But as we go back to growth, we're going to maintain that cash focus, and we want to turn that working capital as quickly as possible even as we grow. So the team is doing a fantastic job. So we really appreciate what they've done embracing this cash flow focus.
Operator: Our next question comes from the line of [ Eric Carlson ].
Unidentified Analyst: So you guys have kind of outlined what we look for kind of towards the end of the year in terms of net debt, I think. So just implying the $85 million EBITDA target and the 1.3x multiple, about $110 million net debt towards the end of the year and probably somewhere around 11 million shares outstanding. So that kind of leaves us with $340 million of enterprise value at year-end and really kind of still trading in that 3.9x or under 4x EBITDA range if nothing changes from here, which I would hope it does, but I guess to have that buyback in your pocket, there's worse things than having a low share price for a while. And maybe the question would be is regarding the prodigious return of capital, a word for which I had to look up the definition. When you look at the balance sheet at the end of the year, so you have $110 million net debt, $100 million of that is the kind of the new notes you did last year. How does that change as you get kind of the credit line down to 0 when you think about return of capital, does it increase buybacks? Does it allow you to actually return cash to shareholders in some way, shape or form? Maybe just talk me through that if you look beyond this year.
David Lyle Williams: Yes, Eric, great question for us. And we've laid out over the last few quarters our thoughts and our framework for returning cash to shareholders. So just to kind of walk through those to reiterate that is we want to use about 50% of our cash flow for net debt reduction, about 25% aimed at share repurchases and the last 25% for things that we view as more strategic, and we put incremental share repurchases in that, especially at our current cash flow yield. So I think even as we roll through to nothing drawn on the revolver and effectively cash on the balance sheet, we would still be looking towards net debt reduction. So I think we'll hold that strategy as we roll through. Obviously, we could get a little more bullish with incremental liquidity as that plays out that way. But it wouldn't hurt us at all to be in a position in a couple more years to even look to retire those Nordic notes early and get to a lower cost of debt on a go-forward basis.
Unidentified Analyst: Okay. That's helpful. And then I guess just in that regard, I mean, I know it gets brought up every quarter in terms of acquisitions. Obviously, the Variperm acquisition was about as good as you're going to get and you basically -- you're going to basically have paid that off over a 2-year period just in cash flow. So obviously, nothing wrong with that. But when you think about organic versus inorganic growth and then balancing that return of capital, obviously, the only guarantee is cash. I mean you can buy something very well and still have it go wrong. So when you think about just organic versus inorganic and then again, kind of hammer home on cash return specifically as we kind of turn the corner here. I mean, I guess I would personally just highlight that some sort of just pure cash return is probably appropriate at the right net debt level because the organic opportunity is so good in terms of revenue on a longer-term basis. And just some thoughts on that would be helpful.
Neal A. Lux: Yes. We agree with you on the organic opportunities that we wanted to highlight it when we think about our beat the market strategy and where our growth and leadership opportunities. And again, if we look out ahead 5 years, it's hard to believe that we won't have -- as an industry, have to invest a lot of capital and that we're going to be a beneficiary of that with more activity. So I think the organic opportunities there, market share gains, overall market size growth, that all fits. And as a company, we don't require a lot of capital, right? So we're pushing to be even more efficient on our working capital. Ideally, incremental working capital will almost pay for itself in a year or less. And so we'll have that. And as we look at growth opportunities -- sorry, inorganic growth opportunities, we want to have a strong lens. We want to have good criteria, and it's something we'll absolutely look at. And again, if we found something like Variperm, fine, but we're not going to push. We're not going to take excessive risk there because we have so much good organic opportunity.
Unidentified Analyst: Okay. Yes, that's helpful. I guess last thing from me would be, obviously, from a competitive perspective, you guys sit in a very strong position given kind of the cash generation, what you've done to lower debt levels and kind of that accelerating even into year-end here. I mean just when you look at your peers or even some of your customers, I mean, where do you think that you sit versus kind of the competition? And also in terms of a competitive perspective, there's obviously some OFS pressure, but I think everybody has their kind of head up and eyes on 2026 and beyond just as we've seen U.S. production flatline a little. I think the large-cap servicers have been not incredibly bullish on the rest of this year, but the outlook looks good. So just how has that been in terms of conversations with them and kind of building what you think looks like hopefully a better 2026?
Neal A. Lux: Yes. As we think about our, let's call it, commercial competition, we try and again, obviously focus on areas where we have very few competitors. Generally, most of those competitors are private or small, not even publicly traded. So they have a different view on than our publicly traded peers. So I think for us, the position is by having a strong balance sheet, by being able to invest in our people and have the right resources, also having a global footprint, we think we're going to outcompete, out-innovate those smaller, less capitalized competitors there. I think on our publicly traded peers, which we get loved into, our focus is to generate a lot of cash, and that's where we're going. I'm not sure where they're looking per se. But I think for us, the future, I think, is going to be strong in our industry, and we're going to be there to take advantage of it.
Operator: Our next question comes from the line of Joshua Jayne from Daniel Energy Partners.
Joshua W. Jayne: I just had one final follow-up, which was, how do you -- or how close are we to a bottom, do you think in your stimulation and intervention business on a quarterly run rate basis based on where we are in the cycle today?
Neal A. Lux: Yes. I think we outlined kind of a general gradual decline from here. So I don't think we're quite at the bottom yet as we -- as I talk to our teams and talk to our customers. I think we got some time to go on the frac space, especially the U.S. where we've tried to position ourselves and especially with our quality wireline product family is we're less frac fleet specific. And for us, it's more stages. So that product line is consumed on really on a per stage basis. So even with fewer frac fleets, what's driving the bottom for that part of the business for us is when do we get a bottom in stages and when stage count start to grow. So I think we could see that for our business sooner than the bottom of frac fleet count.
David Lyle Williams: The other thing I might add, Josh, there is the international aspect. So with unconventional development picking up in South America and the Middle East, we're seeing demand for some of our more traditional U.S. land-focused technology, quality wireline being one, but also stimulation products, our GHT heat exchangers, those products are all being demanded. And so seeing opportunities for growth with capital spend by our customers in those other regions.
Operator: At this time, I would now like to turn the conference back over to Neal Lux, CEO, for closing remarks.
Neal A. Lux: All right. Well, thank you, everyone, for your support and participation on today's call. We look forward to our next meeting in early November to discuss our third quarter 2025 results.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.